Operator: Good day, ladies and gentlemen. Thank you for standing-by and welcome to the Third Quarter 2019 Rapid7 Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to your speaker today, Neeraj Mahajan, with Rapid7. Please go ahead, sir.
Neeraj Mahajan: Thank you, operator and good morning, everyone. We appreciate you joining us today to discuss Rapid7 third quarter financial and operating results, in addition to our financial outlook for the fourth quarter and full fiscal year 2019. With me on the call today are Corey Thomas, our CEO and Jeff Kalowski, our CFO. We have distributed our earnings press release over the wire, and it is now posted on our website at investors.rapid7.com, along with the updated company presentation and financial metrics file. This call is being broadcast live via webcast and following the call an audio replay will be available at investors.rapid7.com until November 12, 2019. As a reminder, our discussion today contains forward-looking statements about events and circumstances that have not yet occurred, including without limitation, statements regarding our objectives and future operations and future financial and business performance. These forward-looking statements are based on our current expectations and beliefs and on information currently available to us. Actual outcomes and results may differ materially from the expectations contained in these statements due to a number of risks and uncertainties, including those contained in our most recent quarterly report on Form 10-Q and subsequent reports that we filed with SEC. The information provided on this conference call should be considered in light of such risks. Actual results and the timing of certain events may differ materially from the results or timing predicted or implied by such forward-looking statements, and as reported results should not be considered as an indication of future performance. Rapid7 does not assume any obligation to update the information presented on this conference call, except to the extent required by the applicable law. Our commentary today will be primarily in non-GAAP terms and reconciliations between our GAAP and non-GAAP results and guidance can be found in today’s earnings press release. And at times in our prepared comments or in response to your questions, we may offer incremental metrics to provide greater insights into the dynamics of our business or our quarterly results. Please be advised that this additional detail maybe one-time in nature and we may or may not provide an update in the future on these metrics. With that, I’d like to turn the call over to our CEO Corey Thomas. Corey?
Corey Thomas: Thank you, Neeraj, and good morning, everyone. Thank you all for joining us today on our third quarter 2019 earnings call. I am pleased to announce that Rapid7 had a great third quarter. Year-over-year, our ARR grew by 43% and again we exceeded the high end of our guidance with revenue growth of 33% and a non-GAAP operating profit of $0.5 million. The main highlight this quarter is that we want to get accelerated our customer growth with all of our platform products contributing. We grew customers by 17% and into Q3 with more than 8600 customers. Average ARR per customer increased by 22% year-over-year to $36,000 and recurring revenue expanded to 88% in the third quarter. These results are quite a good demand environment, great expense control and excellent execution across the board. With a strong focus on product innovation, and a well-diversified product portfolio, we see a large opportunity in front of us and are well-positioned for future growth. As a result, we are raising our total revenue and non-GAAP operating income guidance for the full year 2019. Now, let's review the third quarter results. We delivered strong growth in the third quarter with ARR growth 43% and revenue growth of 33%. We have continued to make investments in our business and focus our teams on driving customer adoption, which has resulted in exceptional customer growth. In addition, our team has done a good job of maintaining strong retention rates, resulting in a strong ARR, and top-line growth. We believe customer growth today is key to our long-term sustainable growth, because every customer we add today generate significant opportunities overtime. Our results reflect consistent strong performance of qualify [ph] platform. We are gaining market share affordability [ph] management, as customers appreciate our platform roadmap and tightly knit integration with the broader security ecosystem. In addition, our results are driven by the significant strength of InsightIDR. As our sec ops [ph] vision resonates with the resource constrained organizations of all sizes. Most organizations are trying to scale the management of their security practice with limited resources. The task of finding potential threats is difficult. But what combined with the efforts of prioritizing these tasks and respond to them efficiently in partnership with IT, security practitioners are overwhelmed. We believe our unrelenting focus on our customers productivity, and our strong product roadmap truly differentiates Rapid7 from the competition. As our customers IT infrastructure moves away from an on-premise to a hybrid environment, we are helping identify, prioritize, remediate and automate vulnerabilities and attacks across their evolving digital environment. This focus left for start to yet again named InsightVM, a leader and it's Q4 for 2019 vulnerability risk management forced to raise. In forces [ph] words, Rapid7 is focused on helping clients understand the vulnerability risk their business face and Rapid7 is a strong choice for any company looking for a VM tool that can streamline the decision-making processes. Our results and momentum are driven by strong technical innovation that focuses not just on delivering insights but leveraging those insights to drive collaboration and operational productivity. In InsightVM customers, CBIS [ph] and our remediation management workflows with goals, SLAs and automation. In InsightIDR, our customers CBIS [ph] with our integrated investigations, and automated containment. In the cloud, we have a significant focus on not just analyzing cloud environments, but also traveling the scale and productivity of cloud security management. Our platform strategy allows us to collect customer insights more holistically, but what customers are really demanding is that these insights returned into operational excellence and productivity, which we achieve both through integrations and our platform automation capabilities. An example of our focus on innovation and customer productivity is our recent win with one of the largest discount store operators in Europe. This customer understood their potential risk exposure from the very beginning but had limited security resources and hence needed a highly efficient VF solution and SLA detection and response capability. This customer decided to build their new security program around both InsightVM and InsightIDR leveraging our auto [ph] seamless product integration. Finally, we continue to drive leveraging our business. In the third quarter, we generated another quarter of non-GAAP operating profit of approximately $0.5 million. We remain confident about our path to global growth and profitability and intend to continue investing our resources to add long-term value to our customers. In conclusion, 2019 is shaping up to be a great year for Rapid7. Our continuous focus on innovation has allowed us to grow top line in excess of 30% while significantly improving profitability. With that, let me turn the call over to our CFO Jeff Kalowski. Jeff?
Jeff Kalowski: Thanks, Corey, and good morning, everyone. We're very pleased with our strong performance in the third quarter with results that again exceeded our guidance on all metrics. Total revenue for the third quarter was $83.2 million above the high end of our guidance in an increase of 33% year over year. The strong revenue growth was driven by better than expected product revenue growth. Total ARR grew to $310 million at the end of the third quarter, a 43% increase year-over-year. As Corey mentioned, ARR growth was primarily driven by strong customer growth. Our customer count increased by 17% year-over-year, and we ended Q3 with over 8600 customers globally. The quality of our customer base continues to improve as higher growth in our product customers more than offset the decline of our service-only customers. Our customer economics for me strong with average ARR per customer increasing to $36,000, up 22% year-over-year. Strong growth in ARR over the past year drove 44% growth in recurring revenue and recurring revenue now constitutes 88% of total revenue compared to 82% a year ago. Our focus on recurring revenue drove a 54% increase in our product revenue year over year. This was partially offset by decline in maintenance and support revenue as next post customers migrate to the insight platform, resulting in reclassification of maintenance revenue to product revenue. Therefore, similar to prior quarters, we believe it's more useful to look at products and maintenance and support revenue together, which collectively grew 40% year-over-year. In line with our expectations, and consistent with our commentary on previous earnings calls, our renewal rate declined in the quarter by 2%. I also want to mention that we adjusted our renewal rate calculation Q1 2018 to exclude certain upsells and cross sells with a customer was less than a year old, and therefore not directly attributable to the renewal customers. While this slightly lowers our historical renewal rate by between 1% and 3%, it is important to note that the year over year trends are largely the same as the previous calculation and our underlying retention rates remain strong. Our professional services business declined by 16% year over year and is now 8% of our total revenue for Q4 2019 we expect professional services revenue to continue to decline on a year-over-year basis. Looking at the business geographically, revenue from North America grew by 31% year-over-year and comprised 84% of total revenue. Rest of the world revenue grew by 45% year-over-year and comprise 16% of total revenue in the third quarter. Turning to margins, total non-GAAP gross margin was 74% similar to Q3 last year, and our combined product and maintenance non-GAAP gross margin was flat year-over-year at 80%. During the third quarter, sales and marketing expense improved to 44% of revenue when compared to Q3 2018 expense of 46%. R&D expenses were 19% of revenue in Q3 2019, down compared to 23% in Q3 2018, but similar to that of Q2 2019. G&A expenses in Q3 2019 were stable at 10% of revenue when compared to Q3 last year. For Q3 2019, we generated non-GAAP operating profit of approximately $0.5 million well ahead of our guidance. Non-GAAP operating margin was 1% compared to a margin of negative 5% in Q3 2018. Adjusted EBITDA for the third quarter was $3.4 million and diluted non-GAAP net income per share was $0.01 also well ahead of our guides. We ended Q3 with cash, cash equivalents and investments of $258 million compared to $264 million as of Q2 2019. The decrease was mainly driven by the ongoing investments in our global headquarters. Contract going for Q3 2019 was 15 months down from 17 months a year ago but increased by a month from Q2 2019. During the quarter, operating cash flow was $1.8 million, as compared to negative $4.1 billion in the prior year. As we outlined throughout 2019, we have continued to reinvest our excess profits to drive sustainable growth and profitability. The timing of these investments has resulted in revised cash flow from operations estimate of approximately negative $5 million for 2019. Now, moving on to the guidance, for Q4 2019, we anticipate total revenue to be in a range of $87.4 million to $89 million. This guidance reflects the strength of product revenue growth, despite the decline in professional services revenue. We anticipate non-GAAP operating loss in Q4 2019 to be in the range of $1.6 million $0.6 million. We anticipate non-GAAP net loss per share for Q4 to be in the range of $0.02 to $0.00, which is based on anticipated 49.6 million weighted average shares outstanding. For the full year 2019, we are raising our guidance and now anticipate total revenue to be in the range of $322.7 million to $324.3 million, which is 33% growth over 2018 at the midpoint. Given our significant outperformance and operating profit year-to-date, we are now projecting our full year non-GAAP operating income to be in the range of 0 to 1 million. We anticipate non-GAAP net income per share to be a range of $0.03 to $0.05, which is based on an estimated 52.1 million diluted weighted average outstanding. The weighted average shares outstanding for the fourth quarter of 2019 represent basic shares outstanding given our projected non-GAAP net loss. The weighted average shares outstanding for full year 2019 represented diluted shares outstanding given our projected non-GAAP net income. Non-GAAP income for full year 2019 largely represents interest income, a projected cash and investments. On a GAAP basis we expect a full year net loss for 2019. In conclusion, Rapid7 had a strong third quarter and we look forward to delivering a strong fourth quarter. With that, we appreciate your time and support. I will now open the call for any questions. Operator?
Operator: Thank you. [Operator instructions] And our first question comes from Saket Kalia of Barclays Capital. Your line is now open.
Saket Kalia: Hi, guys. Thanks for taking my questions here. Apologies for the background noise. Can you hear me okay?
Corey Thomas: Yeah, we can hear you just fine.
Saket Kalia: Okay, excellent. Well, hey, maybe for first for you, Corey, just zooming out a little bit. Can you just talk about the overall health of spending on vulnerability management tools, especially with some of the macro concerns out there? What are customers telling you about the willingness to invest here and in areas like SIEM just broadly?
Corey Thomas: Yes, so we feel very positive about the overall spend environment and dynamics. And that's primarily because when we look at the broad customer base, we still see plenty of rebuild [ph] opportunities. We see lots of customers upgrading their programs, and we see the priority really about how they operationalize the overall security program. So, people want not just data and insight to analytic observations, but they also want to figure out how to translate that data into action and collaboration across their security and IT, dev/ops teams. And so, we see an incredibly strong demand for that.
Saket Kalia: Got it. Makes sense. Jeff maybe just might follow-up for you. It's been a really solid year thus far on a ARR. Last year's strength is obviously this year is tough comparable. And I think we all see the tough comparable on ARR in Q4. So, I guess, I guess the question is, are there any guardrails that you want to give us just in terms of how you think about that tough comp in ARR here in Q4, in particular?
Jeff Kalowski: Yes, so remember, last year, we grew 53% in Q4, it's our largest quarter of the year. And remember that the two-year transition started in Q2 2017. So, Q4 2018 to Q4 2017 had a favorable comp with respect to the model shift, because we were still - we still had a lot of perpetual in Q4 2017. So, the ARR year-over-year change was greater in 2018. Having said that, it is an annual metric and we don’t change it quarter-over-quarter, we don’t like to guide to a specific ARR number, but we’re comfortable with where we are, saying over 30%. But I would keep in mind, that's some color on really the difference between Q4 this year and Q4 of a year ago.
Saket Kalia: That’s very helpful. Thanks guys.
Operator: Thank you. And our next question comes from Matt Hedberg of RBC Capital Markets. Your line is now open.
Matthew Hedberg: Well, hey guys, thanks for taking my questions. I guess first of all, congrats on the acceleration new customer growth that was pretty impressive and I guess Corey, beginning to that a little bit when we think about the variables for customer ads, can you help us with how quickly you think about growing sales capacity relative to the customer growth?
Corey Thomas: Yeah, Matt it’s a very good question, so at the top line I will talk about is that, clearly ourselves in marketing overtime we see to actually continue to get more and more productive. So, now we’re thinking about how do we actually add productive capacity, and really the way to think about that is, because we’re a platform we have existing businesses that are scaled like VM, which is a very healthy growth dynamics especially around the world, and SIM, which is both a scale business but also a massive book in front of it. And the productivity especially in our SIEM business, is continued to escalate as we actually feel. And we’re actually bringing in our own new technology and offers that allow us to actually continue to scale a bit over the next several years. And so, what we’re really managing to be a model that actually fits, how we actually increase our productivity and our contribution, and our profitability form ourselves and also into each and every year. And what that is translating to is that, we’re adding new customers for new segments and new offerings. And for existing businesses, we’re actually adding more and more customers and ARR for sales reps that’s how we actually get the acceleration there.
Matthew Hedberg: Got it, and then I guess even with the strong customer, and their customer saw a nice uptick. When you think about average mods per customer, I mean I assume you’re getting a lot of up-sell, but it even seems like maybe newer customers are making large initial purchases. Can you talk a little bit about that dynamic?
Corey Thomas: It’s early, we’re seeing very good growth dynamics in customers that are actually, if not buying multiple products upfront, they’re actually starting to plan for a multi-products platform strategy. And that’s the quality of the feedback that we’re actually giving to our sales teams overall. I would say the one we’re actually managing to be that we have a strong focus on just adding customers now, because we’re at this stage we have very high confidence that we’ll be able to cross-sell and be more up-sell overtime. So, our core focus today with our sales team is, is instead of rising the focus, on adding new customers, mapping our future sales. We really don’t care whether the future sales happen at the time of the initial deal, within six months or 18 months or within two years, we’re just looking at adding customer today and that gives us a multiple of the initial deal over the next several years and that’s the way we sort of plan for an operational model.
Matthew Hedberg: Got it. Thanks a lot, guys.
Operator: Thank you. And our next question comes from Gur Talpaz with Stifel. Your line is now open.
Gur Talpaz: Great, thanks for taking my question. Corey, I want to push into 2020 and beyond, you’ve made a lot of investments in products like App-check and Connect, how should we think about your company with the pipeline for those solutions and how do we think about their potential to be contributors in the future 2020 and even beyond that?
Corey Thomas: Yeah, so the way that we actually set up our dynamic is, you can think about us a rolling pipeline, is clearly we have VM which is our strongest most established offering which has a very healthy overall market dynamic. SIEM, we have an incredible increasing brand recognition, we have a great market opportunity and we’re also not just building pipeline, but we’re executing quite well there. So, you see the growth of that, but the opportunity of that is maximum time. And then when we actually put stakes in the ground around it, application and so on which we thought to ramp up this year, we’ll be ramping even more next year but we look at those as primary contributors and in 2020 to 2024 timeframe, that allows us to continue maintain growth over longer term time horizon. If you take a step back to when we actually did our original sort of like Analyst Day in 2017, we actually had the offerings and the big question was when we ended, what position we ended and how that affects our growth and our opportunity in 2020 to 2024. Well, the great position that we’re in today, is that we’re clearly going strong, I believe, and our team believes we have strong growth opportunities and a strong demand environment over the next three to four years, and we'll have excellent expense controls. And so, as we actually look forward, it's really - we are in this really unique position with a strong demand environment in great expense controls, where we are investing at the pace of growth and the opportunity that we actually see. And right now, we see a significant opportunity. And we're going to be investing in the opportunity we're going to be growing and scaling. And the position that we put ourselves in is that when we built expanding margin and growing, but we're going to be investing to actually maximize the growth opportunity over that time, even if we actually expand in margin. And you can think about our margin expansion being a highly tied to basically the rate of overall top line growth, which has been tied to basically how much traction we're getting from our core offerings over time.
Gur Talpaz: That's, that's really helpful. Thanks for that. And then, Jeff, maybe just this one for you, recurring revenue here, as a percentage of total, it's starting to level out. It's obviously been growing really nicely. How should we think about that going forward? I think in the past, you talked about sort of certain dynamics with the processor greatness. I keep pushing for future periods. But I do sort of look at the overall business mix. How do you think about the leveling out of recurring revenue percentage of total mix? Thanks a lot.
Jeff Kalowski: Yes. So good. Professional services will probably be flattish next year to where it is now. So that's, that's kind of leveled out. I believe it was less than 10% of total revenues right now. We are 88% this quarter, next quarter we're probably be about the same and should take up to over 90% next year, sometime next year. And it's really, the real big change is that professional services revenue there's the perpetual is declining, each quarter is rolling out based on the amortization.
Gur Talpaz: That's helpful. Thank you.
Jeff Kalowski: Thank you.
Operator: Thank you. And our next question comes from Rob Owens, the Piper Jaffray. Your line is open.
Rob Owens: Yeah, good morning, guys. I guess building on that question, Jeff, how long should we see this perpetual tale last year? I know it's what got a couple years left maybe just a little more color because it is rolling off and not, probably not rolling off as fast as I might have thought?
Jeff Kalowski: Yes. So, we have to spread that over five years. So, we recast everything as of January 1, 2018. So, it will still roll off. Most of the roll off will material out of the roll off will be through 2020. After 2020, it will be essentially in insignificant. Right now, it's anywhere for about $2.5 million to $3 million a quarter of it rolling off. So that should tail off pretty much after 2020.
Rob Owens: Okay, great. And then shifting gears a little bit Corey, maybe you can touch on your competitive position in SIEM, it's become quite the noisy space across the space. Whether it's cloud SIEM or prem SIEM, it seems like there's SIEM offerings from quite a few vendors out there. So, what you see relative to competition, why you win and where you're differentiated? Thanks.
Corey Thomas: It's a great question. I would say it's noisy. I mean one thing to keep in mind is that Rapid7 has always thrived in noisy competitive markets. And it's really because value proposition is relatively straightforward. We allow people to incredibly sophisticated names with extraordinary ease of use, which allows us to both expand and open up markets, but also serve the largest companies who are actually productivity and resource constraints, that's our primary differentiator plus all of our products. And it's just something that's incredibly hard to do. Doing something that's complex and sophisticated and making it easy and accessible is incredibly hard to do, but that is our core capability and involve us actually differentiate. That's said in SIEM, you're seeing really a win-win, I think in terms of what I think is going to be the long-term players, of course you have [indiscernible] we're continuing to gain more and more ground every day. And we're invited into more and more opportunities every day. And we have an amazing partner demand for our SIEM technology, that we're building capacity to really expand the departments that actually coming to us and asking for that opportunity. You see, Microsoft enter the phase, which will have a great offering. But again, they're really as far as my awareness, the only other cloud based SIEM in the market today, and it's a massive market opportunity. And I think most of this, if you just look at the core dynamics around SIEM, we'll shift to cloud based SIEM offerings. And so, the setup that you actually see today is Rapid7 is incredibly well-positioned in the market and our value proposition both resonates, allows us to expand the market is incredibly difficult for our competitors to emulate. Thank you.
Rob Owens: Thank you.
Jeff Kalowski: Thank you.
Operator: Thank you. And our next question comes from Michael Turits of Raymond James. Your line is now open.
Michael Turits: Hey guys, good morning. Corey, first few I want to come back to our socket started on vulnerability management. Can you give us a sense of where you think the growth rate is for it for VM overall? If you think you're gaining share and how there is this anything else besides the value prop around resource constraint?
Corey Thomas: Yes, so the value proposition, the value proposition in first and foremost, is that all of us in this space are making investments in analytics, prioritization, visualization, those are table stakes where Rapid7 has really differentiated itself is we have an intense focus on workflow and automation. And for most of our customers, they're really concerned about - we hear from customers all the time. I have more vulnerabilities than I know what to do with. And before I can even expand my coverage, I've got to figure out how to actually work through the vulnerabilities that I have today. And this is where the workflow focus, the IT collaboration focus and the automation and orchestration focus really comes into play and drives preference for Rapid7, because our proposition isn't just that you can actually analyse and prioritize these things is that we will actually help you drive the velocity of how you operationalize and remediate these vulnerabilities. And that just stands out to our customers more than anything, so that's the differentiation piece. On the overall market, the data clearly suggests that we're taking share in the overall market. We're going well above the overall market. We have high confidence in our position, as far as the market growth rates that's more about detailed understanding about how others are doing. And we're not situated to actually look at the competitive, but if you look at our growth rates, for not just Rapid7 in general, but for mobility management, and you compare that to the overall market. The data that we have internally is just that we're continuing to take successive share in the broader market. And again, that's driven by about the greatest opportunity but also driven because people are upgrading their systems, we've been focused on how they actually operationalize with workflow, the IP integration, the collaboration and the automation, or core contributors to that ability.
Michael Turits: Thanks, Corey. And then, Jeff, I wanted to get a bridge for us the growth rates between billings for thought total and current, which for 25 percentage versus revenue in ARR and as we get through this transition, shouldn't we start to see buildings converging with some of these other metrics?
Jeff Kalowski: Yes. So, Michael, I know the calculation you're doing in terms of billings, you're basically taking the revenue test for change in short-term deferred. The problem in that calculation is it doesn't capture the reclass of long-term to short-term deferred so that 24%, 25% is actually higher. If you go back to Q3 of a year ago, from Q2 to Q3 in 2018 you have more long-term reclassified too short-term, remember we had more perpetual back then. So, it's really not the same apples-to-apples comparison. So, with respect to - you're right, but they should converge. So, with respect to how to look at it going forward. So, our ARR guidance is really on an annual basis year-over-year. So, if you look at - if you back out the services, and you take our guidance of the growth rate, and that should translate to the growth in billings.
Michael Turits: Okay, thanks.
Operator: Thank you. And our next question comes from Gregg Moskowitz with Mizuho. Your line is now open.
Gregg Moskowitz: Okay, great. Thank you, very much and good morning, guys. I guess first question to the net retention of 111%. I did want to ask Jeff; do you continue to expect net retention to stabilize around the 110% level or is there any change just in light of the modest adjustment in methodology around up sells and cross sells?
Jeff Kalowski: Yes, on a previous call, we said it would end around 110% by the end of the year. So, on an apples-to-apples basis, we saw a change in the calculation of between 1% and 3%. So that that rate could that 110% could be affected by that 1% to 3%. That's what we're seeing right now.
Gregg Moskowitz: Okay, that makes sense. Thanks, Jeff. And then just on the Q2, call, you did an answer to a question I think provide a high-level overview of revenue and ARR growth in 2020. I realized, of course, there's no specific tie ins for next year at this point. I'm just wondering if you have any update from your comments from last quarter.
Corey Thomas: I was the one that made a passing comment about it. Really the focus of the comment day and if you haven't changed now, is that if you think back to what we said before, one of things we were aware of it the question about like how we attend the year, what does that mean for the future? Well, we're entering the year as a growth company and we see ourselves as a growth company in the future. So, we primarily in fact [ph] we have a massive demand environment and so the way that I think about in the way that our team thinks about things going forward is we have great demand environment, we have great expense controls. And so, as we go into next year, and if you go to our Analyst Day, we're in the good position to have our model that says, as we grow faster, and as we actually continue to actually expand the market and take market share, we will actually be investing more. If the growth is lower, you can expect a much faster growth in the overall profit that we're going to be generating. But we're in a great position because we have great access to the demand environment, investment growth as long as we're growing. And if the growth is sort of not as high as we believe it can be, then we actually invest in growing our profit margins. We are uniquely positioned to really have this balance and right now we've been investing, and that investment has actually generated substantial growth while we’re growing margin. And so, our commitment is we're going to continue to actually both grow, focus on growth and expand margin. And it's really what's the rate of one versus the other and keeping that in balances our core focus area. But again, we'll walkthrough everyone in the model next year. But what I wanted to do was we extraordinarily clear is that we are existing not just so much higher level, we're exiting higher growth rates than what we originally had socialized several years ago. And so, we're really focused on this balance position, invested in growth, while still actually growing profitability at the commensurate rate.
Gregg Moskowitz: That's helpful. Thanks, Corey.
Operator: Thank you. And our next question comes from Jonathan Ho, William Blair, your line is now open.
Jonathan Ho: Hi, good morning. Can we start with the international growth opportunity and are you guys seeing any macro challenges or regionally what are sort of the opportunities to invest in just want to understand a little bit better the dynamics there?
Corey Thomas: Yes, Jonathan. My observation is that we're not seeing challenges outside geopolitical challenges is that we're a cloud-based company. And so, we've had to really focus in on areas and regions where we've made cloud infrastructure investments, and everyone wants to data in their own regions. So that's been some like one overall change. But that said, we have a very healthy growth continue internationally and overall, and that’s continuing with scale as the overall business skills.
Jonathan Ho: Got it. And then just as a follow-up, how did your U.S. Federal government business do this quarter and you know, what opportunities are you seeing there. Any concerns over potential shutdown, just wanted to get a sense there. Thank you.
Jonathan Ho: Yeah, I think it did well. So, keep in mind that Federal government still small part of our business, and is not one that we're heavily dependent on. It's one that we will continue to invest in and expand overtime. But if you think about our two public sector practices, we have a massive investment in sled, which is performing well. Then we have a federal practice, which is early stages, but we have an incredible team there, and they're doing quite well. And over the multi-year horizon, we expect that to grow and do healthy and contribute more over time. But it performed in line. But I just want to be clear, it's sort of like it's still a relatively small business for us.
Operator: Thank you. And our next question comes from Nick Yako of Cowen & Company. Your line is now open.
Nick Yako: Great, thanks for taking my question. Maybe building on a prior question, you're clearly tracking well ahead of your expectations of $350 million, there are by the end of 2020. But could you highlight the areas or products where you've seen the most upside relative to your initial expectations?
Corey Thomas: Yeah, it's interesting, so the if you just look at dollar basis overall, it's clear that basically, both VM and IDR are the largest dollar contributions to the upside. And from the strong demand environment. So that's the primary contributions. And then we're seeing good adoption and expansion in the application security and the sore areas. But if you think about like ourselves focus, we have so much demand in both the VM and the IDR side, that that's consume a lot of ourselves resources. So, some of our integrations and some of the other areas are really not but this year, that will be accelerated expansion next year.
Nick Yako: Okay, good. And I think you guys are you're clearly building more automation into the core offerings, like VM and IDR, how do you find the right balance between the automation functionality you embed into those products for selling as a separate product like inside connect?
Corey Thomas: Yes, it's a great question. I mean, the simple way that we actually think about it is the - we’re building integrations, any integrations into our core platform product so into InsightIDR and it's InsightVM, you can connect any other security tool or IP tool into those tools for workflows. We see the InsightConnect value proposition as allowing the other tools to actually connect with one another and the job overall workflow and processes. Said another way is that we look at the overall per customer market and we see hundreds of potential workflows, and we're exceeding and making it easy for our customers to benefit. And so, we give away 10% to 15% of those workflows. Yes, absolutely, but that allows customers to experience it, but we still have a massive upsell and cross-sell opportunity, because its customers experienced those workflows, and what they can do with the power of automation. It allows them to automate all the other core processes and copy operation.
Nick Yako: Excellent. Thank you.
Corey Thomas: Thank you.
Operator: Thank you. And our next question comes from Melissa Frenchie [ph] and Morgan Stanley. Your line is now open.
Unidentified Analyst: Thanks for taking my question. I wanted to follow up on that line of conversation on orchestration and inside connect. I know it’s very early days and you're expecting it to ramp next year. But based on your conversations with customers, how do you think that business will ramp relative to what you've seen in maybe InsightIDR and then are you telling it kind of an ROI type value proposition that helps Garner budget from those customers and how does that resonate?
Corey Thomas: That's a good question. So, on the first part of the question is we think it's an on ramp similar to the InsightIDR from the time that we actually make investment. I will tell you that need to keep in mind this year, is that because we were focused on getting into profitability, we had to make some hard choices about where we put our sales and marketing investments and we clearly invested more heavily into the InsightIDR already versus around merging that shift next year. So, from the place where we are investing, we expect right now a similar cycle to what we saw from the IDR investors. And that's primarily because the feedback that we've gotten so far even for the limited investment is quite positive on the overall demand environment, you see a pretty strong use case right now around sock automation. But we see that even expanded from there to broader security, automation, and then into aspects of its automation. To your second question, I think you nailed it, is that part of the reason that we're so bullish is that this is one of the few areas insecurity where you can show an ROI. And it's more critical than ever, because almost every organization regardless of size, is still feels like they're resource constrained. So even very sophisticated organizations feel the need to figure out how to accelerate their productivity. And many organizations are looking at automation as a keyway to actually drive productivity up in their organization.
Unidentified Analyst: Very helpful. And then I just wanted to follow up on the discussion on ARR per customer the growth and ARR per customer. To what extent is that coming from the fact that you're garnering larger customers and maybe getting some traction in the enterprise space, versus more traditional mid-market customers just coming in and buying more products from you all?
Corey Thomas: I mean, right now, it's fairly evenly split. If you zoom out and look at it over like a 12-month basis, we're still pulling our traction and presence in the enterprise and large enterprise accounts, and we're still going the mid-market customer base which either we split. Because if you think about it, we incentivized all of our sales teams, of which we have mid-sized sellers and large enterprise sellers, to really focus on new customer ads, which allows us thankful for the long term. So, it makes sense that you would actually see the new customer contributions coming in from both of those areas. Now, I mean, you could also do the math the other way and say that customers mid-market customers it is more of a smaller ASP it's $100 basis. Adding you may have fewer large enterprise customers is a fewer of them. But what I'll say is those customers that are added today have significant upsell and cross sell in ARR such opportunities into the future. And so, it's worthwhile to actually focus on expansion in both areas.
Unidentified Analyst: Thank you very much.
Corey Thomas: Thank you so much.
Operator: Thank you. [Operator instructions] And our next question comes from Chris Speros from Nomura Instanet. Your line is now open.
Chris Speros: Hey, guys, great job in the quarter. Could you guys just give us some insight into what percentage of total errors coming from VM at this point?
Corey Thomas: So, we don't break it down all day quarterly basis what I'd say is that we give snapshots over time. And one way to think about it is that, roughly a little bit over half of our business is coming from VM today, but the expansion of the other areas is quite high. And when you think about our focus is that VM is still a growing business, which is positive, it's just there are other buttons that are scaling and growing at a faster rate. And I think this is something you'll see periodic snapshots for, either on our Analyst Day, or one of our annual calls, but we just don't break it down on our quarterly basis in detail.
Jeff Kalowski: Right. And I just to - that, is that if you look at 43% growth rate, and the VM over half the business, clearly had a healthy growth rate in the quarter, but as far as so we don't break it down specifically but product each quarter, but at a high level. It's still healthy growth.
Chris Speros: Got it. And I think, historically, you guys would talk about IDR and its percentage of net new error. Can you give us an update on that this quarter?
Jeff Kalowski: Yeah, it's still over 30%. It's still growing nicely. And it's about triple-digit again on a regular basis, but in the quarter the net new was still over 30%.
Chris Speros: Got it. And should we assume the other 70% is split. Evenly split among the other three. At second -
Corey Thomas: I thought what I'll say is that, if you think about the growth engines today, because it's hard to translate between the new and then the total ARR trends this revenue, but the key takeaway is that VM is the largest healthy, it's also, the scale businesses, it's doing very well and it's growing fast in the overall market, but it's going to serve a [indiscernible] portfolio. And that's just we've a broad base - we have a benefits of a broad base portfolio, you could think about we had a massive investment in IRD an extraordinarily good return in IDR this year that we they sustain across multiple years. And then this year, we had a healthy that our application and our server investments are still in the early investment stages. And we're going to accelerate those investments next year, as we have more investment capacity, which is the primary constraint this year.
Chris Speros: Great, good, thanks. Thanks.
Corey Thomas: Thank you.
Operator: Thank you. And ladies and gentlemen, this does conclude today's question-and-answer session. This concludes today's conference call. Thank you for participating. You may now disconnect.